Operator: Hello, and welcome to the FPC Q1 2025 Earnings Presentation. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand over to Stefan Pettersson, Head of Investor Relations. Please go ahead.
Stefan Pettersson: Thank you, Paul and good morning, everyone and welcome to FPC's earnings call following the release of our Q1 report this morning. So we'll begin by a presentation by our CEO, Adam Philpott; and then by our CFO, Fredrik Hedlund. And if you're following the call on the web, you can post questions throughout the call. And with that let me now hand over to our CEO, Adam Philpott.
Adam Philpott: Thank you very much, Stefan and welcome to the Q1 earnings presentation everybody. As always I'm joined by Fredrik and we'll take you through the following agenda. So if we go to the agenda please. I'll start as always with an executive summary. We'll talk about the key numbers throughout the quarter and some of the key headline items there as well. But then what we'll do is as all [Technical Difficulty] we're going through a transformation as a company. It's something we've talked about on the last quite a number of earnings calls now. But I'll take you back a little bit, first of all, to the first year of the transformation what we were focused on there to stabilize the business and move towards profitable growth and then where we are now in [Technical Difficulty] transformation as we look to accelerate our growth execution. I'll talk about how we're executing against the strategy that we've put in place as a result of that transformation program. We'll talk about some of the things that we said we would do and what we're doing about them in Q1 as well. And then I'll hand to Fredrik [Technical Difficulty] will talk of discontinued operations which I'll touch on in a second and we'll go a little deeper into the Q1 financials. So with that let's get to the executive summary. Headline news really strong growth in our core business. So great to see the revenues double in [Technical Difficulty] SEK 9.1 million in Q1 2024 to SEK 18.2 million in Q1 2025 really positive to see how that revenue in our core business is continuing to improve. That 100% is a very precise number. It just happened to play out that way. And also really stable strong gross margin. Of course a big part of transformation plan was to ensure that we were moving into more profitable markets where our value is desired and where we can monetize it. And you can see there with those strong gross margins that continues to be the case [Technical Difficulty] not only doubling revenue, but doing so with very, very strong gross margins as well. Our EBITDA performance looks very strong. That was underpinned by the Smart Eye deal of nearly SEK 30 million that we announced very early in Q1. As you look at the underlying EBITDA, of course, it is still negative overall and we continue to drive improvements within that as we focus on the turnaround. But a good result nonetheless as a result of some of those asset monetization things we've been working on particularly Smart Eye. With free cash flow negative SEK 22 million was related to discontinued operations and so we are improving. We're not yet positive, but we're seeing a really strong directional trend in terms of free cash flow and you can see that from the historical periods noted there in the table to the right as well. So continue [Technical Difficulty] shows that the turnaround isn't done yet. We never said it would be. It takes time to transform the company. But as you can see all of the indicators are moving in a very positive direction. And then of course with headcount again not just about focusing on revenue and margin to drive our overall income performance, but also managing [Technical Difficulty] we've done a thorough job as a part of the transformation in doing that down 70% year-on-year in terms of headcount really leveling out where we need to be from an organizational perspective. We've also improved our reporting clarity. So you'll see in this report and Fredrik will spend some time on this a little bit later that Mobile and PC is now classified as discontinued operations. And we're doing that to give a very clean view of how the core business is performing. We'll see that go completely away and it allows us to then focus on what is the core business that we have and how is that performing. [Technical Difficulty] only that as a little bit last year, we're removing R&D depreciation which was historically categorized under COGS we're moving that under development expenses. So again we have a very, very clear view of gross margin. So tidying up the reporting as a result of the transformation that we've been through or going through [Technical Difficulty] we've now completed. And then as it comes to strategic execution really important to think about how are we going to continue to grow where are we going to get new revenue from moving forward. We announced an Anonybit partnership very late in Q4 2024. And we've recently literally [Technical Difficulty] just announced that we are now starting to deliver the initial products coming off the shelves from that joint collaboration. So a decentralized biometric authentication platform integrated with PingOne. I'll talk a little bit more about that later in the presentation as to what that means. And of course upward moment seems to be tariff not necessarily the most beautiful word in the English language, but something we're very focused on a very chaotic economic environment as a result very unpredictable. But of course as a leadership team we have been very focused on this. We've [Technical Difficulty] as we spoke with many of our customers to ensure that we understand how this can play out and have a plan in place to act in a very agile way as it does. We feel that, there are limited direct impacts from US tariffs, because of the amount of hardware we ship directly versus through our channel. [Technical Difficulty] managing that. But at the moment it's very much under continuous review. I think like many of our customers what we're not looking to do is over act, which could destabilize the business. But of course just monitor how this is playing out and ensure that we have the agility built into our operating model to be able to act accordingly when it becomes appropriate to do so. So just a little bit there on tariffs as well. If we go to the next slide, this kind of is a reminder. Many of you will remember this gosh I've seen this slide so many times. But this is really the transformation program. I launched this when I joined the [Technical Difficulty] and I launched it on my first earnings call which was back in October 2023. And this was -- these are the six pillars of the transformation. And this was number one about stabilizing the company. We were losing money at the time and we had a lot of work to do in order to reorg [Technical Difficulty] where our core value was desired in the marketplace. And we did so through these six pillars. At the same time, whilst the focus was on stabilizing the company, it was also about the second phase, which was gearing it for growth. So whilst we were stabilizing we were ensuring that the organization and the focus and the strategy we are putting in place was geared to be able to be a springboard to accelerate growth. That was the first phase we went through. That's about a year that phase. I see us concluding that early into this year late into last year. And so as we move [Technical Difficulty] next -- this moves to the next phase of the transformation. So year two 2025 is all about then moving to this accelerate growth phase. So on the left you can see we've left the stability phase we've stabilized the company and we are now moving towards accelerate growth. It doesn't mean that, there aren't things we still need to do. We need to be very disciplined still. We've done a lot of work on our OpEx and we need to ensure that we don't lose those gains that we've had so we'll continue to ensure that there's solid business rigor on an ongoing basis. That's something we simply need moving forward as a business. Anyway any good business needs that, but the focus now is on accelerating growth. Not only that though, as we think about accelerating growth, we should also be thinking about where we're going in the future as well. And that's about having really strong operational excellence. And so you can see these four pillars and the fourth pillar really ties to that operational excellence [Technical Difficulty] all three pillars of course are very growth-oriented. So let's go to the next slide, and I'll talk a little bit more about each of those phases so -- each of those pillars rather. So for this next phase year two around accelerating growth it's about execution. The first is [Technical Difficulty] around our core revenue. And so one of the items we look at here is around our sales capacity. And I look at that in two ways. Have we got enough sales capacity to go and drive growth? That means a couple of things. It means do we have enough people? So we are looking at expanding our sales [Technical Difficulty] in the United States but there are other areas that we're also looking at as well as funding becomes available for us to invest through the income that the business generates. So we're looking at how we're using our income to fuel our growth moving forward in terms of physical human capacity for sale. The other thing that we're looking at is, it's not just throwing people at the problem. It's also about looking at the sales resources we have and how we can ensure that we maximize the amount of time our sellers have to be productive to get out there and do prospecting, for example, versus account management just getting the balance right between [Technical Difficulty] and having sufficient capacity to go out and build new customers as well. So that's what we're focused on from a sales perspective. And that second piece around productivity ties to business modernization, and I'll touch on that in just a moment. The second piece of core revenue growth is our marketing engine. We've put a new marketing leader in place. And marketing for me is a sales function. The role of marketing is to generate business. It's a value-adding function. It's not a cost. It's an investment. But our job is to now transform or evolve our marketing into [Technical Difficulty] and that creates leads that's metrics oriented rather than just keeping the lights on. So a couple of interesting things happening in core revenue growth as we focus and spend more time prospecting there whether that be through sales or through marketing. On the asset monetization side, we've [Technical Difficulty] the Smart Eye deal that we wrote in Q1 is a really good example of asset monetization. And this is really about patent partnership so we've announced another partnership with patents. We've got a great body of patents there that we're going out to monetize. We're focused on our high-value IP. There's lots of IP in the company but really focused on those IPs that we think are of value that we go and therefore, maintain moving forward. But it's also about the licensing models we have. And as I said, Smart Eye is a really good example of that. And these licensing models throw up different opportunities. Some are incremental opportunities. Some of these opportunities are how we think about our larger existing business. Where -- sometimes when we write new projects with our customers, it's about them baking our sensors into their products. So it takes -- there's a long sales cycle for [Technical Difficulty] into their products for them to test their product. Then they have to take their product to market and then they have to be successful. That's a really long set of steps before we get any revenue. So licensing models opens up a slightly different approach to that. Instead of waiting till the very end and we get paid per unit [Technical Difficulty] whether that’d be through NRE or through licensing. And then at the back end when they start to sell lots of units, there's more of a royalty approach, lower than selling per product, because we've derisked it by front-ending some of the income. What that means is a slightly different shared risk model with our customers. It means we get some money upfront. It means we derisk the success of the product. But for our customers, it also means their skin in the game so that they're incentivized to sell higher volumes, because then they really get breakthrough benefits on a per unit basis. And of course, they reduce the overall cost of goods for their product at higher scale. So a really interesting model that we've done some work on and I see us doing more work on that as well. Now, our new revenue streams. Of course, Anonybit is a really big one for us there. We've made an announcement. We've got some more products coming in the future as well as we expand what we do. I'll touch on that one [Technical Difficulty]. But this is about us expanding what we're selling to our existing clients for those clients who want to have shared devices for example, and use one sensor for many, many fingerprints. But also getting us into new clients, new logos and into a new market of workforce authentication where [Technical Difficulty] most. So this is a great new opportunity for both existing and new customers for us to go to market and we're now starting to see product roll off the shelves. But it's also about the edge. In the past, you may remember, we talked about cloud and edge. The intelligent edge is also really important to us as well. This is not just inorganic through partnerships where we have additional modalities. It's also about what we are doing as an organization organically. We have great skills in Gothenburg. We have great skills in the company to innovate. And part of what we're doing there is, building intelligence into the edge whether that's on the sensor, whether that's in our algos, in our software, including artificial intelligence to make very smart decisions and improve performance in terms of how those algorithms function. But of course it's also about expanding the intelligent edge as well. And again Smart Eye is a good example of [Technical Difficulty] algorithm. There are other partnerships we're looking at in other biometric domains as well whereby we can have a suite of different intelligent edge modalities. What that means then is it offers choice to users. They may want to use voice, they may want to use face, they may want to use iris, they may want to use finger, they may want to use behavioral. Very -- many different modalities that we can give them choice depending on the devices they're accessing their systems with. Not only that, it means we can combine those modalities together. So, having two modalities to authenticate the user offers much higher efficacy is deep fake proof helps us avoid some of the AI attacks that we're seeing in terms of faking identity to be able to have a very, very strong security posture, but also a very, very strong user experience. So, those are some of the things that we're doing on the intelligent edge moving forward. And then [Technical Difficulty] finalization that's about how we operate as a company. We live today in an agentic world. AI agents becoming more and more common in terms of how we execute business process at scale, how we offload capacity from our intelligent workers to [Technical Difficulty] focus on high-value problems and they then have AI agents working on their behalf. And there's a couple of things that we're working on here as an organization. One is around revenue operations. What does that mean? That means professionalizing our sales engine in terms of how we do prospecting using [Technical Difficulty] worldwide web, using data, helping our sellers make smart, targeted decisions and helping them use multichannel ways LinkedIn, e-mail, phone calls, meetings as they reach out to clients in an orchestrated way minimizing the administrative burden on them. So, that's a key focus which ties back to that core revenue growth as we think about sales capacity. And then as a company we're now small. So, we have the opportunity to be very agile. And instead of adding headcount for every problem that arises, we first start with looking at how AI can help every single member of our staff. And we ask our staff to go and self-serve and find ways to solve problems using AI within our corporate policy in a way that's secure, of course, to augment themselves and to drive productivity at massive scale. So, that's really what we're focused on in terms of our business modernization. Let me touch a little bit finally on the [Technical Difficulty] to Fredrik to talk about some of the financials. So, late last year into January 2025, here's the partnership that we spoke about. We announced the need to have a cloud offering to be able to super scale biometrics by storing templates in a decentralized and secure manner and that's what our partnership with Anonybit enables. And so since then we've been working with them on joint products and we announced last week that we've integrated with PingOne DaVinci. Who are PingOne? A key part of the workforce authentication market is a space called IAM, identity and access management, key pillar within cybersecurity and within workforce authentication. PingOne are one of a few key players in that space. They are an organization with whom we have much tighter links. And so that's the first product off the shelves. We're working with PingOne to ensure that it's very, very [Technical Difficulty] their customers to use biometrics instead of passwords. So, this is about finally starting at scale to remove passwords from workforce authentication. Every time you want to log on to something, depending on the risk rating, we can use biometrics to be able to do that whether you're in the office [Technical Difficulty], whether you're a frontline user in a health care setting for example different ways of using biometrics to solve that problem to improve security and to improve the user experience. So, this is the first milestone we aimed for. We've hit it. Now, we're going to market certifying our sellers to be able to go out there and engage with customers, compiling target lists to go out there and reach customers. But this is just the first milestone. There's a lot more to come from Anonybit as well and we look forward to continuing that partnership. And so that's a little bit on the transformation, a bit on where we've come from, a little bit on where we are [Technical Difficulty] how we're doing and what we said we would do. But with that, Fredrik, let me hand over to you and perhaps you can talk a little bit about discontinued operations what that means and then deep dive into the numbers a little more.
Fredrik Hedlund: Yes. Thank you, Adam. Let's talk about the concept of discontinued operations. So we have exited Mobile and PC, low-margin product groups. And now we are classifying them as discontinued operations. And what this means in practice, is that, from now on our financials will only show our ongoing core business. The Mobile and PC numbers are pulled out, so that you can clearly see the growth of our core business, but also the profitability of our core business. And as you heard from Adam, revenue in our core business has doubled year-over-year. And in classifying, Mobile and PC as discontinued operations, that makes our performance much more transparent and our discussions more focused on the future. So we are really, really happy about this change. And if you look at the table on the left-hand side, you can see the, what I would call the, before view, and what I would call, the now view. The before view, would be to look at the bottom of the table, the total row and the -- and there revenue from both non-core and core were mixed together. And the now view, you look at the top of the table, the line called revenue and that is our core business and that is our future. So in summary, we're fully out of Mobile and PC as of this quarter. And from now on, it's going to be much easier to see what our real growth is in our financial reports, and we are 100% focused on growing our core business going forward. So with that let's look at some of the key financials on the next page. In terms of the first quarter, well, we know now that we've grown our business in a healthy way. But also as Adam mentioned, in his remarks was that, our gross margins are healthy. And the turnaround of our company is clearly gaining traction which you can see from the financials. So let's do a quick rundown of some of the key metrics. So revenue up 100%; gross margin really healthy 56.6%, and then from an EBITDA perspective, we recorded SEK10.7 million positive EBITDA, but that was supported by the Smart Eye deal. And without the Smart Eye deal, we're still in turnaround mode, but we are heading in the right direction. And from a free cash flow perspective, free cash flow was negative SEK36.4 million, but out of that SEK36.4 million, negative SEK22 million was due to discontinued operations i.e. it was due to the legacy Mobile and PC businesses. So we are absolutely laser-focused to improving our cash flow. And we're going to do that by continuing to grow our business, and continuing to control our cost. And from a cash perspective, or cash in a bank account, we had SEK52.6 million of cash which is right where we expect it to be post-rights issue at this point in time. And finally, I just want to touch on headcount because that is a very good proxy for how we are controlling our cost, how we are controlling our OpEx. And on every call I keep on saying that, roughly two-thirds of our OpEx is headcount related. And if you look at the headcount reduction, you will see that it's massively down year-over-year. It's 70%, but it's also down quarter of the quarter and it continued to trend down as we are rightsizing our cost structure to align with the ongoing core revenue. So with that, Adam back over to you.
Adam Philpott : Very good. Thank you. Thank you, Fredrik. So just to conclude before we go to Q&A really solid progress on the strategic turnaround. The fundamentals are moving in the right direction. Core revenue good to see strong performance there. Good to see us maintaining a very strong gross margin which was part [Technical Difficulty] markets that valued our products where we could command at the right gross margin and return, but also strong execution on our cost management not just headcount, there's significant rigor going through non-headcount costs as well. I mean, we go down to very, very low-value line items on a regular basis to ensure that we're applying huge rigor to the overall cost so that we're funneling our shareholder capital and our income towards those things that are going to drive growth because growth is of course where we're focused. We've achieved a few milestones along the way. So great that we've [Technical Difficulty] low-value low-margin businesses and that's why we've separated them as Fredrik said into discontinued operations. We'll no longer see those. We were able to monetize iris technology through that great deal with Smart Eye really pleased about that partnership great cultural alignment with that team. There's some real benefits for us to be able to take that product into new markets in partnership with Smart Eye, which is also great for those guys as well. And of course, moving into new areas with decentralized biometric authentication in partnership with Anonybit and now starting to get product coming off the shelves in the very near future. So great progress there. There's a lot still to do of course, but we remain focused on where we need to execute and how we need to be agile and tweak our execution in order to improve performance and having a very performance-oriented mindset. But the strategy focus moving forward is of course we're now in year [Technical Difficulty], it's about accelerating growth. Now as we do that of course that drives positive EBITDA and free cash flow. That's where we're focused. We continue to manage of course our costs but focus very much on top line and on margin of course. And then expanding new [Technical Difficulty] revenue. We've got some new ones with Anonybit. We've got new ones that will be coming to the table in due course with Smart Eye, but we see other potential there as well. Of course, it's a balancing act. We're not going to spread ourselves too thin. We see this as an overall portfolio that we can go and sell holistically as opposed to different markets. We see it as one collective whole, but we'll be expanding the sum of its parts as we move forward. And then, of course, from a business discipline perspective to continue to monitor the tariff environment and ensure that we're adjusting as needed. But we've had a good look at that [Technical Difficulty] position as much as anyone, of course, can be and we'll continue to monitor that and tweak the operation as necessary, so that we protect the business. So with that Stefan, perhaps I can hand to you and we can take some questions.
Stefan Pettersson: Yes. Thank you Adam. I think we'll begin by taking questions from the phone line.
Operator: Thank you. [Operator Instructions] First question comes from Markus Almerud at Carnegie. Your line is open. Please go ahead.
Markus Almerud : Yes. Hi, gentlemen. Markus here at Carnegie. Can you hear me?
Adam Philpott: Yes.
Markus Almerud : Yes. Perfect. Well maybe I'll start on the revenues the SEK 18 million. And I appreciate you're no longer breaking up between different parts of it except for geographically. But -- and we've not talked any about the cards business the cards part of the business during the call or in the report. So maybe you can just update us where you are on the cards part?
Adam Philpott: Yes. Maybe I'll start there and then Fredrik feel free to jump in. So Markus what I would say is on the last earnings call for Q4 2024, we talked about how we're seeing convergence in the hardware stack for biometrics. Particularly on the payment side, what we're seeing is a [Technical Difficulty] card for example. So rather than payments being a product, it's actually a feature of a multifunction product. And that's what I mean by convergence. Other features we see on the card are things like fintech features for crypto payments and cold wallets for example, logical access, physical [Technical Difficulty], some of that you're familiar with that we already do. So it's not just about looking at that as a single product, it's about looking at where the market is going and how we're responding to that accordingly as well. So that's kind of how we think about the payment side of the business. We saw strong business in Q1 as you will have seen and that came across a number of different areas. But Fredrik, maybe I can hand to you if you want to have some other inputs there.
Fredrik Hedlund: Yes. Markus, so yes, so revenue -- I mean revenue is 100% hardware for this quarter. And hardware is our sensors. And going forward, it's sensors. It's not access and payment and any other configuration. We are selling sensors, we're selling hardware. However, as we start to launch products with Anonybit, there's likely to be a second category coming in called software, which would then be recurring subscription-based revenue. And then as Adam mentioned, a little bit earlier on again he talked about asset monetization and Smart Eye and it's a strategic focus to continue to do these really smart licensing deals, there's a potential that licensing becomes a revenue stream and not booked in other operating income like the Smart Eye deal was. So, yes going forward, it's hardware and then we hope to be able to expand our product categories going forward.
Markus Almerud: Okay. And then maybe a follow-up on the revenue side. I see that you've had a total of SEK 40 million, I think it was in revenues from the licensing deal with Egis Technology on the Mobile side. Is this part of the core? Or is it part of discontinued? And will it continue? Because the revenues from Mobile was very low lower than SEK 1 million. So how do you think about that? And how should we see that going forward? Is it a continuing stream?
Fredrik Hedlund: Yes. So I can start and Adam you can jump in. So yes, so that is -- I mean those were onetime payments, right? So that's part of -- discontinued. It's not -- it doesn't sit in our comparison point on the revenue side of things. Now, going forward, in terms of kind of a continued stream from there, so we have to see how Egis perform and what they do and how well they execute. So it's way too early for us to see, if there's going to be any meaningful revenue coming as part of licensing revenue. Adam, perhaps you want to add to that comment?
Adam Philpott: Yes. I mean you also saw -- so that's discontinued as Fredrik says. We're focused on the future. We are looking at other asset monetization deals more so in our core space in terms of just different business models [Technical Difficulty] continue to look at those as well. So we'll see new incomes coming in from some of those deals. Those deals are lumpy and take time. We won't always put those in our revenue of course because they can be extremely lumpy and quite different to regular revenue, but we'll look to see some more of those in the future.
Markus Almerud: Okay. I'll come back to discontinued. But first on the cost side, I mean cost is coming down very nicely. But we talked about before about the SEK 70 million cost base in -- at the end of the year. First of all, technical question, will that be including R&D depreciation? And if so, is the R&D depreciation going to be phased out because that's quite a high number?
Fredrik Hedlund: Yes. Okay. So that is a good question, Markus. So, depreciation is depreciation, it's non-cash. So, we are still running the business on a cash basis until cash flow starts to become positive. So, from that perspective, I'm not too concerned. But R&D depreciation, when we talked about the SEK 70 million, it was outside of it. Now it will be part of OpEx, but it will always be broken out in our financials in the text, so it can easily be adjusted out. So the SEK 70 million does not include R&D depreciation is the answer to your question.
Markus Almerud: Okay. Okay. And then on the cash flow finally maybe talk a little bit about the status on discontinued because – I mean cash flow is negative about SEK 22 million negative cash flow from discontinued. When do you expect that to be phased out in full?
Fredrik Hedlund: Yes. So it's going to be pretty close to phased out as of this quarter the first quarter. Now we're still winding down legal entities. It takes time. So you'll have a little bit of legal entity costs in there going forward. When you have legal entities you have a little bit of support cost going forward. But I don't think we're going to call out any costs related to discontinued going forward. Now it's all part of the wind-down process towards that SEK 70 million. There will be a piece in the second quarter nothing or very, very little remaining in the third and fourth quarter.
Markus Almerud: And does the same comes for cash flow? There's no like lingering cash flow effects that we haven't seen that will come towards I mean later in the year from discontinued. So this is pretty much the big bulk here is…
Fredrik Hedlund: Exactly. No that is exactly right. And we've been quite diligent during 2024 to make sure we right size the balance sheet in line with where we're going. So you're right. This should not be – and also if you actually have time and go through our financials you'll see that inventory is clean it's down massively. Our AR looks good. Our AP looks good. So yes this is the bulk.
Markus Almerud: Okay, okay. Well, perfect. Thank you very much. That’s all for me for now.
Adam Philpott: Thanks Markus. Stefan, what else we got?
Operator: There are no further telephone questions.
Stefan Pettersson: Yes. Thank you, Paul. Yes a couple of questions from the web then. Smart Eye has won some impressive design wins in automotive. So can you give some more comments on the potential for FPC of this and maybe other aspects of the Smart Eye agreement?
Fredrik Hedlund: Yes. I'm happy to jump in on that one. So yes, of course we talk regularly with Martin and the team at Smart – great design wins. And it's a terrible joke but whilst cars go fast automotive goes slow. So the design win isn't revenue. And Martin actually put some really interesting posts about what a design win is on LinkedIn recently. It's really a case of saying, yes, we're going to bake this product – then as I mentioned earlier in terms of the sales cycle that design then has to be then production ready. It then needs to be delivered to customers, customers need to order it, customers need to buy it. Often these things are optional and therefore, they've become options not in every vehicle. And so we're yet to see the revenue come from that. But of course, that's really positive to see that we're getting design wins and there's a huge amount of interest, which is why I think Smart Eye are very smart to move quickly and get the deal done. So really good to see that there's demand for our capability in there. I'm really looking forward to seeing the success but it doesn't affect near-term cash flow. Of course it comes once we start to see those orders. But net-net, really positive signs that we are seeing those design wins. We monitor design wins ourselves. They're an early indicator of future business but of course that future business takes time and I'm really focused on our time to revenue as well. So that's kind of core to the deal that capability that Smart Eye have to be able to offer an enhanced premium, a highly capable product leveraging our technology. So a really good win for us and great to see wins coming for Smart Eye and success from that deal for them. That's exactly what we want. In terms of other aspects to that deal, we talked about it being bidirectional as well. I think Smart Eye are really interested in how their technology just as our iris technology can manifest in automotive, how their face technology can manifest outside of automotive. So we'll be working with them. They're at Shanghai motor show this week and last week. We'll be working with them when they return – on looking at the face algo integrated with iris and how we can deliver that to our customers as well. That intelligence edge that I spoke about earlier, AI capability in there, eye tracking, there's some interesting things we're looking at beyond that together. And so that's the next piece that combines edge modality and where we can take that into our customers. And, of course, bake that into our cloud capability with Anonybit also. So some very interesting things happening in that space moving forward.
Stefan Pettersson: All right. Thank you, Adam. And a question on headcount and office closures. It's positive to see that headcount has been going down. But can you also tell us a bit more about office closures what you've done in that area?
Adam Philpott: Yeah. Fredrik, do you want me to start with that one and you can jump in? I'm happy to kick it off.
Fredrik Hedlund: Yes.
Adam Philpott: So I mean we -- as I said earlier, we go through our cost our non-headcount items with a fine-tooth comb. We look it down to a very, very low level in terms of how we're running the business. And so offices absolutely appear on there as well. [Technical Difficulty] Copenhagen, for example, that office is now no longer part of our infrastructure. There are a number of other offices. I don't want to comment on them. We're getting very, very small now in terms of the offices that we have. And so we're looking at that infrastructure to make sure that we completely reduce it. It's [Technical Difficulty] need, the infrastructure we once have. Of course, there are some negotiations happening, so I wouldn't want to jeopardize those. But we have a very, very small portfolio of footprint now. Fredrik, please jump in with other comments there, though.
Fredrik Hedlund: Yes. Yes. So the question was headcount and then it was offices. I think headcount, just look at the numbers that we presented. You can go into previous presentations, so you can clearly see the trend, right? It's coming down and as part of our transformation plan. And we'll see where we land, but we have room for continued cost efficiencies, and we're executing on those. So that's on headcount. It feels very good. Also, with a smaller headcount or actually a very small headcount we are in, what I would call, a luxury position to kind of keep that headcount fairly steady and leverage all the technology that Adam talked about that's just coming online now and will probably be a massive efficiency enhancer in 2026. So the way I look at it is, we've done the hard work on headcount. We've optimized. We have a great team that's left. I don't know if anybody that's left that we absolutely wanted to keep, which means that it continues to be a great place to work. We continue to have the people that we want and need to stay in our business. And in terms of scaling from there, we have the luxury of leveraging new technology that come online and not only add headcount to support the kind of growth that we saw in this quarter. So just feel really good about this point in time, where we are and what we have available to us to leverage efficiency going forward. And then on offices, closing down legal entities takes time. We are in the process. It doesn't cost a lot of money. It's just admin. And from all practical terms, we have one office today, and that is in Gothenburg. One office that cost us money. And the rest is on a wind-down path. So from an infrastructure point of view, we feel good where we are.
Stefan Pettersson: All right. Thank you very much, Fredrik. So thank you very much, everyone, for your questions. And let me hand over to Adam then for any closing remarks that you may have.
Adam Philpott: Thanks very much indeed. So thank you, everyone, for attending. Thanks for the great questions. [Technical Difficulty] really appreciate you guys coming and continuing with us in this journey. Good set of results, I think, in terms of how the transformation plan is playing out. Good results in terms of revenue, good results in terms of gross margin, good results in terms of how we're managing the operational efficiency as well. So [Technical Difficulty] we're not done with the transformation. The focus now is on growth. So that's where we are as a company, continuing to manage those fundamentals, continue to expand to give us access to new revenue streams, but also driving growth within the core business now that we can really focus on it. So with that, I want to thank everyone for joining, and I look forward to seeing you next time.
Operator: That concludes today's presentation. Thank you for participating. You may now disconnect.